Operator: Greetings, and welcome to the Meritage Homes Third Quarter 2024 Analyst Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Emily Tadano, Vice President, Investor Relations and ESG. Please go ahead, Emily.
Emily Tadano: Thank you, operator. Good morning, and welcome to our analyst call to discuss our third quarter 2024 results. We issued the press release yesterday after the market closed. You can find it along with the slides, we'll refer to during this call on our website at investors.meritagehomes.com or by selecting the Investor Relations link at the bottom of our homepage. Please refer to Slide 2, cautioning you that our statements during this call as well as in the earnings release and accompanying slides contain forward-looking statements. Those and any other projections represent the current opinions of management, which are subject to change at any time, and we assume no obligation to update them. Any forward-looking statements are inherently uncertain. Our actual results may be materially different than our expectations due to a wide variety of risk factors, which we have identified and listed on this slide as well as in our earnings release and most recent filings with the Securities and Exchange Commission, specifically our 2023 Annual Report on Form 10-K and subsequent 10-Qs. We've also provided a reconciliation of certain non-GAAP financial measures referred to in our earnings release as compared to their closest related GAAP measures. With us today to discuss our results are Steve Hilton, Executive Chairman; Phillippe Lord, CEO; and Hilla Sferruzza, Executive Vice President and CFO of Meritage Homes. We expect today's call to last about an hour. A replay will be available on our website later today. I'll now turn it over to Mr. Hilton. Steve?
Steve Hilton: Thank you, Emily. Welcome to everyone listening in on our call. I'll start by touching on what we're experiencing in the market today and cover some of our recent company news. Phillippe will share a little more information about the Gulf Coast acquisition we announced this morning and then highlight how our new strategic pivot is reflecting in our quarterly performance. And Hilla will provide a financial overview of the third quarter and forward-looking guidance. Let me kick this off by welcoming our newest Board member, Ms. Erin Lantz, to the Meritage family. We look forward to her insights, particularly in technology and financial services. And for anyone that missed our release earlier this month, we also announced our continuation of the declassification process of our Board of Directors. We are proud to be able to continue to take on corporate governance initiatives that align with our shareholders -- with what our shareholders have told us is most important to them. Now let's turn to our Q3 results. Q3 was another strong quarter for Meritage, where we again demonstrated that our strategy focused on affordable move-in ready homes is resonating with home buyers. Our rate buydowns in July and August and the pullback in mortgage rates in September all contributed to order volume that slightly outpaced traditional seasonality. Our third quarter 2024 orders totaled 3,512 homes, and we achieved an average monthly absorption of 4.1. Our company record backlog conversion of 145% this quarter generated 3,942 home deliveries and home closing revenue of $1.6 billion. Our 60-day closing commitment is gaining momentum across all our communities and was the driver behind our increasing backlog conversion rates. Home closing gross margin for the quarter was 24.8%, which combined with SG&A leverage of 9.9%, resulted in diluted EPS of $5.34. As of September 30, 2024, we increased our book value per share 15% year-over-year to $139.2 and generated a return on equity of 17.2%. Now on to slide 4 for some recent acknowledgment of our corporate citizenship. We received the EPA's 2024 Indoor AirPLUS Leader Award for the fourth year in a row for building homes that are designed to promote safer, healthier and more comfortable indoor environments by participating in the Indoor AirPLUS program and offering enhanced indoor air quality protections. As a result of our workplace culture and employee engagement, we were honored to earn the Great Place to Work certification for a second consecutive year. We also made the 2024 Fortune Best Places -- Best Workplaces in Construction list and Best Workplaces for Women list, as well as Arizona's Most Admired Companies for 2024. In August, we published our fourth annual ESG report, which also encompasses our task force on climate-related financial disclosures. We encourage everyone to read it and know more about our efforts progress related to sustainability and social initiatives. And with that, I'll now turn it over to Phillippe.
Phillippe Lord: Thank you, Steve. I'll address our acquisition press release first, as we are guessing that is top of mind for everyone. This morning, we announced we completed our acquisition of the assets of Elliott Homes, a prominent private builder operating in the Gulf Coast. This marks our first acquisition since 2014 and is a great strategic fit for Meritage given the strength of the Gulf Coast markets in Mississippi, Alabama and the Florida panhandle and the alignment on affordability and product geared toward the first-time homebuyer. We are excited to be working with owner Brandon Elliott and the opportunities we see in this underserved part of the country. With the supply of over 5,500 lots, we expect to generate meaningful volume from this new division in 2025 and beyond. Now turning to slide 5. Our sales orders for the third quarter were 3,512 homes, with 92% of the volume coming from entry-level homes. Orders were slightly up 1% year-over-year with both average community count and absorption pace relatively consistent across both third quarter periods of 2024 and 2023. This quarter's cancellation rate was 10%, remaining below our historical average in the mid-teens. ASP on orders this quarter of $406,000 was down 6% from prior year due to geographic and product mix shift as well as increased financing incentive costs. Third quarter 2024 ending community count was 278 compared to 287 at June 30, 2024 and 272 at September 30, 2023. We brought 20 new communities online this quarter, bringing our total year-to-date openings to 90. While we are expecting to end the quarter with a higher community count, stronger demand than anticipated resulted in some early closeouts, and the timing of some community openings slipped into October. With the Elliott acquisition, we should be comfortably about 300 stores at December 31, 2024, and a further double-digit year-over-year increase by the end of 2025 to help us achieve our 20,000 unit goal in approximately three years. As we are in the final days of October, I can also provide some high-level commentary on what we are seeing so far in Q4. Despite rates remaining volatile, we are seeing demand hold relatively steady, with October performance falling fairly in line with September. Moving to the regional level trends on slide 6. The central region comprised of our Texas markets had the highest regional average absorption pace of 4.6 per month and an average quarterly backlog conversion rate that has exceeded our minimum target of 125% for the last four quarters. With approximately 35% completed spec inventory in this region, we believe our product and price points will continue to allow us gain market share. The West region experienced the largest year-over-year growth in average absorption pace to 4.2 per month in Q3 from 3.6 in the third quarter of 2023. We are continuing to see strength in one of our largest markets, Arizona, with attractive products at the right price points. Before I dive into the East region results, I wanted to comment on the recent devastation from Hurricane Helene and Milton. Our hearts go out to those who were impacted by storm damage power outages in Florida and the Carolinas. We are happy to report that all of our employees are safe and accounted for. While our September closings were not materially affected, we were unable to facilitate sales for several days. In October so far, we have had minor damage to some of our communities and the power outages and gas outages early in the month have caused some minor construction delays. We anticipate temporary labor dislocation as trade availability is diverted to hurricane repairs in the interim and some short-term impact of sales as potential customers recover from the hurricane. In the third quarter of 2024, the East region had an average absorption pace of 3.8 net sales per month, in line with traditional seasonality as the before markets are closer to return to historical levels of retail inventory. Overall, we do expect markets to return to a more balanced new home versus resale equilibrium in the future, with some of our submarkets already experiencing increased competition from existing home inventory. It was with this expectation in mind that we embarked on our strategic evolution to bring our homes to a near completion stage before we start the sales process, so we can meet a similar closing time line as existing resale. We believe our targeted market segments of entry-level and first move-up homes remains undersupplied even with the increase in retail listings and that our product continues to be attractive. We also have a competitive advantage related to affordability, as unlike existing home sellers, we can offer financing incentives. We are confident that our strategy allows us to target the largest piece of the potential homebuyer pool by effectively competing in this resell inventory, which we believe will help us continue to grow our market share even as existing home inventory reenters the market. Now, turning to slide 7. With our high backlog conversion rate, we view our specs and backlog in the aggregate when we look at optimal levels for our targeted closings, as we know about the first four to six weeks of orders will become intra-quarter closings under our new strategy. We believe our approximate 9,000 specs and backbone units at September 30, 2024 are the right level of inventory as we move into the last quarter of the year. We started nearly 3,800 homes in the third quarter of 2024. Although, our start volume was down 5% year-over-year and 12% sequentially from Q2, our average starts pace was in line with our sales pace and traditional seasonality. We had nearly 6,800 spec homes in inventory as of September 30, 2024, up 38% from about 4,900 specs as of September 30, 2023. This represented 24 specs per community this quarter with our targeted four to six months applied as we build up more mature specs to ensure we have the right inventory to meet our 60-day closing ready commitment. Of our home closings this quarter, 97% came from previously started inventory, up 89% in the prior year. 33% of total specs were completed as of September 30, 2024, the first time since early 29 we are at our target of one-third move in ready homes. With nearly 45% of this quarter closings also sold within the quarter, our new backlog continues to decline intentionally from about 3,600 as of September 30, 2023 to approximately 2,300 homes as of September 30, 2024. We expect this trend to stabilize once we continually are delivering homes within 60 days in all of our communities. Before I turn it over to Hilla, I do want to address what is likely going to be one of the Q&A topics, which is the volatile mortgage rate environment, as mortgage rates have continued to elevate through most of October. Our commentary is the same as it has been since the start of COVID in early 2020. We are an agile organization that quickly interprets market cues and adjust accordingly. Our expansion into the top 5 homebuilder spot 2 years ago has allowed us to cost effectively focus on delivering quick-turning move in ready homes, while generating outsized profits and gaining market share. With our commitment to growth, we have did and will continue to offer financial incentives, including rate buydowns for as long as they are deemed to be a helpful sales tool, as we look to solve for affordable payments for our buyers and maintain our sales pace. We believe that homes in our target price point are undersupplied in the US, and the demand is strong at the right monthly payment. While we do expect rates to be elevated for the near term, necessitating the continuation of heavier usage of interest rate buydowns, we also believe that with the influx of millennials and Gen Zers entering the home buying market, demand will remain consistent and solid. I'll now turn it over to Hilla to walk through our financial results. Hilla?
Hilla Sferruzza: Thank you, Phillippe. Let's turn to Slide 8 and cover our Q3 results in more detail. We generated $1.6 billion of home closing revenue this quarter, which was a 2% year-over-year decrease, with 8% higher home closing volumes being fully offset by a 9% decrease in ASP on closings due to product and geographic mix. Third quarter 2024 closing ASP also reflected higher utilization of financing incentives compared to both prior year and sequentially from Q2. Home closing gross margin of 24.8% decreased 190 bps in the third quarter of 2024 from 26.7% in the prior year. Our 2024 margin reflected higher lot costs as anticipated, the increased utilization of financing incentives and slightly lower leverage on fixed cost on lower home closing revenue, all of which were partially offset by lower direct costs and shorter cycle times. Our cycle times improved about 7 days from Q2 to Q3 to around 125 calendar days. We are nearly back to our target of about 120 calendar day cycle time, which would allow us to turn our WIP inventory 3 times a year. Labor capacity remained consistent during the quarter, but given some temporary disruptions to trade availability related to the aftermath of the hurricanes that Phillippe mentioned, Q4 cycle times may be impacted in certain parts of the country. We have been able to reduce direct costs on a per square foot basis each quarter since Q1 of last year as a result of dedicated efforts by our purchasing team, our streamlined operations, which allow us to capture volume discounts from our national vendors and the general increased capacity in those supply chains. On a year-over-year basis, our margins reflect about 4% lower costs per square foot this quarter versus 2023. As we have commented on in the past, while still above historical levels, land development cost increases has been stabilizing over the last several quarters. As a reminder, we have already turned over the majority of our communities from pre-COVID land, so go-forward impact from higher lot costs will be less material in 2025 and beyond. SG&A as a percentage of third quarter 2024 home closing revenue of 9.9% improved from 10.1% in the third quarter of 2023 due primarily to lower performance-based compensation costs. It's important to note that this quarter, total commissions as a percentage of home closing revenue were flat year-over-year again. Specifically, external commission rates were the same as Q3 2023 despite our higher co-broke participation as our strategic relationships reduce the need for ad hoc bonuses and incentives. We remain excited and engaged to deepen our relationship with the broker community, which is proving to be a differentiator for us. We expect commissions as a percentage of home closing revenue to remain relatively steady for the rest of the year. For full year 2024, we continue to forecast SG&A guidance of 10% or under. Longer term, we are targeting a 9.5 SG&A percentage of home closing revenue as we grow our existing markets and leverage our overhead platform to reach our 20,000 unit milestone. The financial services profit of $3.1 million included $3 million of write-offs related to rate lock online costs in the first quarter of -- in the third quarter of 2024. The financial services profit of $5.7 million in the third quarter of 2023 had no such write-offs. The third quarter's effective income tax rate was 21.6% this year compared to 22.4% for the third quarter of 2023. Both periods benefited from energy tax credits on qualifying homes under the Inflation Reduction Act. Overall, lower home closing revenue and gross profit led to an 11% year-over-year decrease in the third quarter 2024 diluted EPS to $5.34 from $5.98 in 2023. Looking at our year-to-date results, we are proud of what we've been able to accomplish in a volatile markets and attribute these successes to our scale and strategic focus on delivering affordable, quick move-in ready homes. On a year-over-year basis, order for the first nine months of 2024 exceeded last year by 10%, or just over 1,000 units. Closings were up 15% as our backlog conversion hit triple digits in all quarters, and our home closing revenue increased 7% to $4.7 billion. We had an 80 bps improvement in home closing gross margin to 25.5% from improved cycle times and cost reductions, and our SG&A as a percentage of home closing revenue improved to 9.8%. All-in, we exceeded our long-term targets on every metric so far this year, generating a net earnings increase of 14% to $613.5 million, or $16.72 in diluted EPS. Before we move on to the balance sheet, I want to cover our Q3 2024 customers' credit metrics. As expected, our buyer profile remained relatively consistent with our historical averages, with FICO scores in the 730s, DTIs around 41, 42 and LTVs still in the mid-80s. As about 80% of our home closings in Q3 had some sort of financing incentives, that number is consistent with our mortgage company capture rate. On to slide 9. Our capital allocation is focused on both organic growth and shareholder returns to enhance shareholder value. This quarter, we continued to accelerate our investment in the business by spending about $659 million on land acquisition and development, which was up 23% from prior year. On a year-to-date basis, our land spend has totaled $1.7 billion. We are on track for full year 2024 land spend of $2 billion to $2.5 billion and continue to expect our go-forward annual spend be similar. As we nearly tripled our quarterly cash dividend on a year-over-year basis to $0.75 per share in 2024 from $0.27 per share in 2023, our cash dividend totaled $27.1 million in the third quarter of this year and $81.6 million on a year-to-date basis. We repurchased $30 million of shares in Q3 to catch up on our systematic plan of $15 million per quarter. To date in 2024, we have spent $85.9 million on share buybacks, repurchasing 1.4% of our shares outstanding at December 31, 2024. $99.1 million remain available under our authorization program at quarter end. Turning to Slide 10. Even though the land market has been constrained as public and private builders alike are growing their land portfolio, we were able to secure and put nearly 7,800 net new lots under control this quarter, representing an estimated 48 future communities. In the third quarter of 2023, we put approximately 5,000 net new lots under control. We continue to find land in our geographies. And although the competition is tight, we are still able to make deals pencil with our underwriting standards, assuming today's ASPs and costs. As Philippe mentioned earlier, since our Elliott Homes transaction closed in October, those incremental lots are not yet reflected in our numbers. As of September 30, 2024, we owned or controlled a total of about 74,800 lots equating to a 4.8-year supply, in line with our target of four to five years. We also had nearly 41,600 lots that were still undergoing diligence at the end of the third quarter. While our cash position remains high, we are actively sourcing off-balance sheet land financing to allow us to accelerate growth in our land portfolio without overtaxing our balance sheet. We continue to view off-balance sheet financing as a vehicle for incremental growth as we work towards our 20,000 unit milestone. To help offset the gross margin headwind from off-book land, these supplemental communities will deliver additional closings, which will generate improved leverage of fixed costs in both gross margin and SG&A. About 64% of our total lot inventory at September 30, 2024, was owned and 36% was optioned compared to prior year, where we had a 74% owned inventory and a 26% option lot position. We owned 66% and optioned 34% of our lots at June 30, 2024. Before we share our guidance, we would like to take a moment and describe our guidance methodology. Historically, we have had visibility in our backlog to several quarters of closings, so our revenue, margin and to a great extent, EPS were all fairly known. With our strategic shifts, our backlog at any quarter end doesn't reflect even a full quarter's closings, coupled with our accelerated production time lines and volatility in the interest rates markets that result in a high variability and offered financing incentives, our ability to model margins and EPS on homes that are not yet sold is somewhat limited beyond the current quarter. While we do believe that our strategy of focusing on pace over price, will result in our ability to control the volume of desired sales and closings, the mix and profitability associated with such homes is a fairly wide range. Therefore, starting this quarter, we will continue to provide our regular guidance for the subsequent quarter, including ranges for closing units, revenue, margin, EPS and tax rate, but we will guide to full year closing units and home closing revenue only to avoid continuous revisions that may cause uncertainty around our financial performance. And with that, I'll direct you to Slide 11 for our guidance. As a reminder, under the new strategy, our stronger backlog conversion means that closings are converting to sales in real time, which shifts our quarterly peak closing volume away from Q4. In light of today's market conditions, we're projecting the following for Q4 2024. Total closings between 3,750 and 3,950 units, home closing revenue of $1.5 billion to $1.59 billion, home closing gross margin of 22.5% to 23.5%, an effective tax rate of about 22.5% and diluted EPS in the range of $4.10 to $4.60. For full year 2025, we're anticipating closings of 16,500 to 17,500 units and $6.7 billion to $7.1 billion in home closing revenue, both of which include the Elliott Homes acquisition. This implies a double-digit year-over-year growth at the midpoint of our Q4 2024 and full year 2025 guidance. With that, I'll turn it back over to Phillippe.
Phillippe Lord: Thank you, Hilla. To summarize on Slide 12, our solid third quarter 2024 financial performance demonstrated that our strategic evolution resulting in quick turning, move-in ready homes, drove strength in our absorption pace and helps us maintain elevated home closing gross margins. Although the mortgage rate market remains choppy, short-term, we believe that the expectation of lower rates over the next several quarters and the ongoing combination of favorable demographics and an undersupply of homes will be constructive for homebuyer demand and will enable us to keep growing our market share. With that, I will now turn the call over to the operator for instructions on the Q&A. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions] Our first question today is coming from Stephen Kim from Evercore ISI. Your line is now live.
Stephen Kim: Yes. Thanks a lot, guys. Appreciate all the color. Yes, a lot of questions here, but I'll just basically start with the production side of the equation. I mean, things have really changed over the last year or so. I remember a time when you were hesitant to think you could do a backlog turn greater than 80%. Now it looks like you're guiding at the high end to maybe even double that into -- in your fourth quarter. So I wanted to talk to you a little bit about what your long-term targets are for backlog turns, number of specs per community. I think you shared that your target -- your historical cycle time was 120 days. I wanted to know whether you're anticipating that, that could go lower? So just basically to understand how you're thinking about what the modeling would look like for backlog turns and your spec levels and how you're going to run your business going forward?
Phillippe Lord: Yes. Thanks, Stephen. Appreciate the questions. I would say that the earlier long-term targets we took out recently this year, we targeted sort of 125% backlog conversion. But obviously, we also indicated a team that we were going to study our business during that time, specifically under the shift to holding homes later in the sales process to do a 60-day move-in guarantee for our customers. With that change, we have been operating closer to 145% over the last few quarters. So we're still evaluating this. But I think where we are is probably where we're going to end up. So we're targeting something north of 125% at this point. Obviously, that can be impacted by cycle times. Our cycle times are almost where we would like to be, where we're turning assets three times a year. We're about -- we're at about 125 days. We think we can get that down a little bit more, which will be helpful and help us get us to that 145% backlog conversion number. And then finally, the number of specs per community. Again, we feel like we're pretty much there. We want four to six months of spec inventory considering we're converting the 145% of our backlog. So we should be converting one-third of those intra quarter every single time in restarting those. So we always like to have one-third of our specs move in ready, one-third of our specs right behind that and then have our one-third of specs right behind that. I think we're pretty much there. If our cycle times can continue to improve and stabilize, we obviously can carry less specs because the cycle times allows us to do so. But I would say this quarter is pretty much within the range of where we're going to be as we think about our long-term targets on a go-forward basis.
Stephen Kim: Okay. What do you mean this quarter, Phillippe, you mean 3Q or you mean 4Q?
Phillippe Lord: Q3. Q3.
Q – Stephen Kim: Got you.
Phillippe Lord: Our Q3 results. As you look at our Q4 guidance, we're guiding to something relatively similar.
Q – Stephen Kim: Except for your backlog? Terms can be a lot higher, but I heard you on the 145%, kind of on an annualized kind of run rate. So that's great. Okay. Second question, I mean, I know there's going to be a lot of questions about the market conditions and all that. I'll let others ask both, and I'll be listening to that eagerly as well. But I wanted to ask you about the acquisition of Elliott and in particular, your approach to land. So the first thing, Hilla, could you provide us some more the necessary color we need for modeling around Elliott? Give us a sense for the closings, the backlog -- sorry, the backlog you may have acquired, purchase accounting, things of that nature? And then to round out kind of the land, I think you had hinted in the past about maybe working on some kind of a different land structure or something like that. But I was curious if you had any update there or if your thinking had evolved there?
Hilla Sferruzza: Got it. So thank you Stephen. So just a little bit of color on Elliott. We did not acquire any VIP. So we will have no purchase price adjustments for the material write-down that you have in VIP. We are going to be going to be starting units in Q4. I know we're in Q4, so we're starting units shortly. We expect to benefit from those closings towards the end of Q1. So you will start to see the performance of the assets that we acquired, it will all be newly started assets and no acquired VIP, all in the margins on the acquired assets to be coming in at or north of our current margin. We were able to strike a win-win deal with the Elliott team, and the net impact is going to be margin accretive, not dilutive, which is a little bit unusual for land transactions. And you should start to see -- again, we look to carry a four to five year supply of lots. There's maybe a little bit of a longer tail here. So I wouldn't take the 5,500 lots and divide it by 5 and say that's the annual run rate. But it's going to be something a little bit south of that but not materially south of that. So that's our long-term trend for the Gulf Coast -- the new Gulf Coast division. As far as our off-balance sheet land, we keep promising that we'll discuss it. It's something that's going to be to be finalized here internally in the next two three days. You should hearing from us about the off-balance sheet structure, something fairly material we will be disclosing on our January earnings call.
Q – Stephen Kim: But it's going to be finalized in the next few days? So meaning it won't go into effect until 1Q? Or will it actually go into effect in 4Q? We just won't know about it until January?
Hilla Sferruzza: Yes, it will go into effect in 4Q. It will be part of our 4Q numbers. It's going to be an incremental growth. So it's not something that's going to happen on day one. So the start of the relationship will begin in Q4. You will see evidence of it in our Q4 numbers, and then it will grow beyond that.
Q – Stephen Kim: Got you. Okay. Great. Well, looking forward to hearing more about that. And thanks very much for all the color, guys.
Hilla Sferruzza: Thank you.
Phillippe Lord: Thank you.
Operator: Thank you. Next question today is coming from Alan Ratner from Zelman & Associates. Your line is now live.
Q – Alan Ratner: Hi, guys. Good morning. Thanks for all the detail and a nice job in the quarter. First question on gross margin. You guys have been pretty transparent about your expectation for margins to kind of normalize closer to 22.5% to 23.5%. And it looks like based on your 4Q guide that you expect to get within that range this upcoming quarter. At the same time, I know there's a lot of moving pieces on a quarterly basis. I know there's some fixed costs associated with your COGS. I know incentives obviously play a pretty big part of that as well. So, I'm just curious if you can kind of parse through the guide for roughly 200 basis points of sequential pressure on margin? How much of that How much of that is higher incentive levels? is mix? And should we anticipate if incentives remain elevated, is there a possibility, at least in the near term, you might dip a little bit below that normalized range?
Hilla Sferruzza: ,So thanks for the question, Alan. I think when we guided a couple of quarters ago to what we thought the long-term range was going to be, I don't think you anticipated quite the level of heavy incentives that we're seeing right now. I think the incentive volume, as you've heard from several of our peers that have also released results already, it's been a little bit heavier than expected. Interest rates did the opposite of what people expected after the Fed announcement. So, our numbers for Q4 reflect a higher expectation for incentives even in what we're seeing -- even in what we saw in our Q3 results, which is the lion's share of the pullback. The material decline from the current quarter to the next quarter is all anticipated increased utilization incentive. I think we're all waiting with bated breath to see when the rates will come down, and there will be a positive impact. So, I don't know that we're forecasting another further pullback in incentives. I think, as we head into the spring selling season, hopefully, the tides will turn and head in the other direction. So, our long-term margin, I don't think is that risk of coming in lower. I'm not sure we're anticipating currently for quarters to fall in below that. But again, we'll be actively monitoring the interest rate markets and adjusting accordingly. I think we've said this several times [Technical Difficulty] Sorry, yes. I think the -- what's happening in the market today is just manifesting itself in our financial statements quicker than some of our peers because of our quick backlog conversion. So, while we've been alluding to and seeing in our sales volume that's coming through our P&L, I think our peers are seeing it a couple of quarters later, but it's a general industry trend.
Operator: Thank you. Next question today is coming from Michael Rehaut from JPMorgan. Your line is now live.
Michael Rehaut: Hi thanks. Good morning everyone. Thanks for taking my questions. Wanted to delve in, I think you kind of already alluded to this, Hilla, but around the cadence of incentives throughout the quarter. It sounds like it ended at a high note and that's what you're further projecting into the fourth quarter. I was hoping if you could just remind us where incentives are as a percent of sales price and how that compares to normal levels, let's say, pre-COVID?
Hilla Sferruzza: Yes. They're definitely running north of pre-COVID. Pre-COVID, it was anywhere between 3% and 6%, depending on the nature of the market. Right now, they're running a couple of hundred bps above that. So, there's definitely increased incentives today from a normal market, which is why we're comfortable that on a long-term basis. Our gross margin targets are so correct because we do expect a pullback in the utilization of financing incentives long-term. We're not modeling that right now. The current dynamics in the interest rate environment don't allow us to model that, although we're hopeful that will happen sometime in 2025. So, the guidance that you're seeing from us is at the current exit interest rate utilization, not even so much as of September 30, but currently, right? We're at the end of October, and we have a whole month's worth of sales, a lot of which will close in this quarter. We have fairly good visibility as to what the current interest rate environment are requiring us to offer.
Michael Rehaut: Okay. That's helpful. I guess, secondly, I would love to get your thoughts around, from a market perspective and certainly, as it relates to you guys as a company as well. Just the availability of finished lots came up yesterday on a competitor call that perhaps on some levels across markets, supply challenges are becoming a little more pronounced. Obviously, you just did the deal with Elliott, and that gives you access to a good amount of lots in new area. But bigger picture, how would you characterize given -- particularly given the emergence of maybe some additional land banking venues and partners. How do you characterize the availability of finished lots in this -- across your footprint? Has it gone up or down over the last couple of years? I'll stop there.
Phillippe Lord: Thank you for the question. Yeah, I mean, it's gone down over the last decade. I mean, so we haven't seen finished lots for 10 years. We self-develop almost 90% of everything we do. The 10% of what we get that's finished is usually opportunistic in some way. And we've been doing that for some time. And we certainly don't see in the pattern not changing anytime soon. If not, it's only increasing. I think the finished lots that are available in the market are often heavily bid on, and you often have to pay a price that really doesn't hurdle. So -- because if a developer goes out there and puts the lots on the ground they're expecting retail plus, plus, plus. So I would say the availability of finished lots is few and far between, except within M&A. Obviously, a lot of M&A is happening out there on private builders because they actually have finished lot inventory that you can get on today. Elliott Homes certainly has some of those -- that's available to us. So I would characterize the availability of finished lots as scarce, beyond scarce. And I don't see that changing anytime soon.
Hilla Sferruzza: Just to clarify, that's always been our expectation, right? Our four to five-year supply of lots assumes it's going to take us a year to two for development. And then three years to sell through the community. So I don't know that it's any different for us than what we've been modeling as Phillippe said for the last decade.
Michael Rehaut: One last quick one, if I could squeeze it in. Hilla, you mentioned that Elliott, you take the 5,500 divided by five maybe it's a little south of that. But let's say that that's closer to like 1,000 lots or closings rather that could add to your 2025 number. That's a 7% growth roughly off of your 2024. And I think even before that, we were kind of looking for 10 percentage type volume growth. So should we just be adding that to the normal 10%? I mean, is it out of bounds to think that you could be doing a 15%-plus closings growth next year?
Hilla Sferruzza: Yeah. I'm not sure that we're guiding to 15% closing growth. We gave our guidance that includes the Elliott numbers. That 5,500 lot is a long-term run rate. So I'm not intimating that we're going to be in the 1,000 unit range in year one. The numbers that we have are inclusive of the Elliott transaction, their component of that is not four digits. So I think that the growth that you're seeing is primarily organic at that midpoint, that 17,000 units is primarily organic.
Michael Rehaut: Okay, great. Thanks so much.
Hilla Sferruzza: Thank you.
Operator: Thank you. Next question today is coming from Trevor Allinson from Wolfe Research. Your line is now live.
Trevor Allinson: Hi, good morning. Thanks for taking my questions. I wanted to follow-up on the 4Q margin guide. If we look back over the past several years, you've consistently outperformed the top end of your margin guidance range. I think that was true in 3Q as well. And then as you alluded to, 4Q assumes a notable step down here sequentially, can you talk about the degree of conservatism that's built into that guide? And then what would you need to see happen for the bottom end of your 4Q guidance range to come into play?
Phillippe Lord: Yeah. So I think as you look at the past eight quarters where you have identified that we've outperformed, a lot of that was predicated on the fact that our business was shifting dramatically and you're going from 1MU to entry-level builder and then from entry level to all spec and from all spec to move in ready. And so we just didn't have complete visibility and confidence in all the transition that was happening and how quickly it was happening. So we are guiding conservatively based on that. Now as you look at the last quarter in our guidance, we indicated to everybody that our margins are going to be down. And we slightly outperformed, but a lot of that just came in the form of a higher backlog conversion and a little bit less of utilization of rate locks. So I think we're getting much, much tighter. And I would say, as we sit here in October, we don't think there's a lot of conservatism in our 4Q guide. That being said, I think rates would have to go higher than they currently are for us to perform below that midpoint, which I currently don't feel like they're doing. We have another maybe two or three weeks of sales that will close in Q4. And as we look out and see what sales we're procuring today, we don't see our financing costs going up. So I feel confident in our midpoint for 4Q.
Trevor Allinson: Okay, got you. Makes sense. And then my second question is somewhat related to that elasticity to rate movements. Can you talk about, in the third quarter, how demand responded when you did see rates decline pretty quickly in the second half of that quarter? And then others have talked about non-rate impacts to current demand conditions, things like the election. What is your expectation for demand in the spring if we don't get a move lower in rates, they could stay pretty consistent to where they're at, but we have some of the other noise such as the election behind us? Thanks.
Phillippe Lord: Yeah. Thanks again, Trevor. So much like we said in the previous guidance, we felt like the back half of this year was going to be a more difficult sales environment because of the election, because what rates we're going to potentially give, because for the first time in many years, we experienced true seasonality. And all of that has materialized. I think the only thing that has become more material has just been what rates have done after the Fed cut. The sales environment is extremely elastic to rates. If you look at our third quarter orders, September was our best month in a meaningful way because rates came down after the rate cut, and we saw increased demand environment. As rates have elevated through October, we've seen the demand moderate from September. So it is very, very, very elastic. That being said, we're guiding to 17,000 units next year, which is significant growth over where we currently sit. We're assuming four-point net sales per month to do there based on our community count growth. So we're extremely confident about the demand environment. We think there are a lot of folks out there that want to buy a home. What we lack confidence in is just exactly what the cost of that demand is going to be in the form of financing and incentives.
Trevor Allinson: Yes, makes sense. Appreciate all the color, and good luck moving forward.
Phillippe Lord: Thank you.
Operator: Thank you. Next question is coming from John Lovallo from UBS. Your line is now live.
John Lovallo: Hi. Good morning, guys. Thank you for taking my questions as well. The first one is just -- Phillippe, just to follow up on one of the last comments you made. I thought earlier in the presentation, you guys may have indicated that October was similar to September from an order standpoint. September seemed like it was pretty good. So I mean, is the order pace relatively consistent just at a higher incentive level? Or what's kind of the right way to think about the pace that you're seeing so far in September?
Phillippe Lord: Yes, you're thinking about it the right way, which is why we're guiding to our fourth quarter margins. The demand is there. We feel very confident that we're able to go secure the pace, and we are a pace-driven business. So we feel confident we can go get our four month or so at the margins that we guided to because we have the financing incentives to go get there. So the demand environment remains extremely constructive. It's the financing and incentive environment that is continuing to be volatile and just the cost and the expectation of consumers as it relates to incentives and financing to procure the sale.
John Lovallo: Makes sense. And then I think you answered this, but I just want to make sure that I'm understanding it correctly. You guys maintain the sort of the long-term trend margin outlook. And so does that that imply if rates, in fact, do come down and who knows if they do and when they do, but that you would take the foot off the gas on the incentives and capture more margins? Is that the right way to think about that?
Phillippe Lord: 100%, as long as we're getting our case, right? And so there's a lot of things that move around in margins. It's not just financing, especially as you start to look out in future quarters. We have newer vintage land coming on, et cetera, et cetera. So our long-term targets are based on our long-term underwriting, the efficiencies that we'll be able to create in our new operating model, our backlog conversion, our leverage, et cetera. But what can obviously move the needle positively or negatively on that is the incentive environment. It's not just solving payment for the customer, but also what our competitors are doing in the environment. So if rates go down, that would, I think, provide potentially a tailwind for margins. If rates stay high and even go higher, that could potentially present a headwind. Now there are a lot of other things we can do to preserve margin in that environment. We can navigate our cost structure a little bit differently. We can do things with pricing, et cetera. So I don't want to say that we're completely vulnerable to this. But yes, rates -- lower rates provide a tailwind, higher provide a headwind.
Hilla Sferruzza: Yes. Phillippe mentioned it correctly, I don't think that we're guiding to -- I don't think it was remodeling once we have a couple more Fed announcements of rate cuts that the margins are going to increase. That's also going to increase the availability of resale inventory, which will impact a bit, ability to push pricing. So there's forces in both directions. I think we're fairly comfortable with our long-term margin guidance at this time. It doesn't mean that we're not going to be a little bit above, a little bit below. All around that based on what's happening quarter-to-quarter, but I think we're comfortable long-term with that market with that margin range.
John Lovallo: Yes. Understood. Thank you, guys.
Phillippe Lord: Thank you.
Operator: Thank you. Next question today is coming from Carl Reichardt from BTIG. Your line is now live.
Carl Reichardt: Thanks. Hey, everybody. I wanted to ask a little bit about Elliott to sort of more broadly. So the 20,000 unit goal you've got in three years, I mean, you'd be 17,000 next year at the midpoint. Does that presume any additional acquisitions? And then my thinking has been now that you've got the actual production model really dialed in. Is -- are you thinking more about trying to gain share within the markets you already are entering new since Elliott is really a very new and different market for you. So is it really an opportunistic deal, Phillippe? Or is this something that we could say sets a new direction for you for new geographies or doing more acquisitions to help get to that 20,000 unit goal?
Phillippe Lord: Yes. Actually, Elliott was a very strategic deal for us. We've been looking at these markets for a while. They fit in nicely with our overall strategy to provide affordable housing. These markets are benefiting from a lack of affordability regionally in the states that around here. They still provide a great quality of life. They are attractive to first-time homebuyers move down and first move up. And the economies are actually really, really strong. So we've been thinking about getting into these markets organically or through M&A. Elliott Homes was a great opportunity for us to partner with a great gentleman who built a phenomenal franchise in those markets so that we could go more quickly and scale from there. So it was very much a strategic fit. As I said before, Plan A is always to increase our market share organically in the markets we are. We are a top five builder across most of our markets. We think as a first-time entry-level spec builder, we should be a top three builder. As we think about where we can be a top three builder, we can easily get to 20,000 units through that growth. But we also have a number of markets that we have identified as strategic fits to our operating strategy and to our consumer segment strategy that we are looking at organically going into or acquiring the builder that would allow us to strategically enter that market at the right price. So it's always been both of those, and we're going to deploy our capital appropriately as long as it's a good return to shareholder value. And we'll go from there. That being said, we don't have anything currently out there from an M&A standpoint that is actionable. We're looking at things, but we have a lot of growth planned organically for our existing markets.
Hilla Sferruzza: When we guided in June to 20,000 units on our investor calls, it was assuming all organic. So anything that we're doing now is incremental.
Carl Reichardt: All right. Thanks. And then just one thing. I think you said about $2.5 billion in spend or matched spend in 2025 on land and development versus 2024. Is your split between new land versus development likely to be similar to what it was in 2024 too?
Hilla Sferruzza: It's -- on a go-forward basis? Yes, probably a little bit heavier on land development. We've spent a lot of dollars acquiring land. And so we've mentioned about 90% of everything we acquire, we self-develop. So there's quite a bit of dollars going out the door on development. I think that the relative ratio between development and acquisition in 2024 is fairly consistent on a go-forward basis.
Carl Reichardt: All right. I appreciate it. thanks, Hilla. Thanks, Phillippe.
Phillippe Lord: Thank you.
Operator: Thank you. Next question today is coming from Susan Maklari from Goldman Sachs. Your line is now live.
Susan Maklari: Thank you. Good morning everyone. My first question is on stick and brick costs. We've seen lumber inflate in the last several weeks or just wood products in general actually. Can you talk a bit about what you're seeing there? Thoughts on the potential that that path continues for that input cost? And then how does this strategy allow you to effectively price the homes as we do perhaps get some volatility in some of these core commodities?
Hilla Sferruzza: Yes. So you're right, lumber has kicked-up a bit over the last couple of weeks, although on the whole, the composite of all of our direct is kind of being exactly what we see in a normal market. Some things go up, some things go down. On average, there's maybe a little bit of a pickup, but it kind of corresponds with what we're seeing on the ASP side. So net-net, there's not a material drag from direct costs. With labor stabilizing, we're kind of seeing everything holding relatively within the bound of what we would consider a normal environment. So we're not seeing anything super outsized on the lumber market, although they have ticked up a bit. But overall, everything is still fairly in line. The volatility in the cost that we said, we are a quick turn builder, right? So you are going to see anything that's happening in the market displaying itself in our results fairly quickly. But with costs stabilizing and supply chain kind of returning back to normal levels, we're not seeing the variability in that today. We do have lumber locks that secure the most volatile and biggest individual component of the home. So we do have some straight lining there. But for the most part, we're not seeing tremendous movement like we had in direct in the last maybe three or four years.
Susan Maklari: Okay. That's helpful color. And then maybe turning to capital allocation, you mentioned that you did buy back stock as you're trying to catch up a bit from earlier in the year. Just any thoughts here on how you're thinking about the shareholder return component of the business as we think about 2025 and the strategy coming into full effect?
Hilla Sferruzza: I don't think we have any guidance yet on capital allocations for 2025 and targets for shareholder return. We can definitely share those on our Q4 earnings call.
Susan Maklari: Okay. Thank you. Good luck with everything.
Hilla Sferruzza: Thank you.
Phillippe Lord: Thank you.
Operator: Thank you. Our next question today is coming from Alex Barron from Housing Research Center. Your line is now live.
Alex Barron: Yes. Thanks guys and great job on the quarter. I wanted to ask about Elliott, just to understand. So these existing communities, whatever homes are under way under construction and backlog. Basically, those are going to -- the previous owners are keeping and finishing those out and anything new is going to accrue to your benefit? Is that how it's going to play out?
Phillippe Lord: Yes. But the only nuance is their existing communities were buying the remaining lots within the existing communities, and we'll start our homes on those, but anything that is under construction in the existing communities' models and sold with the Elliott team we'll be keeping and securing the profits from those. So we're only buying the land and starting homes on the go-forward land, including inside existing communities.
Alex Barron: Okay. But I'm saying, you guys are keeping all the team, right, like every salesperson and builders and all that stuff is now working for you?
Phillippe Lord: Yes. We don't have that. We don’t have an operations in the Gulf Coast. So the Elliott team is joining our team, and we look forward to building a great company down there.
Alex Barron: Okay. Now, I was briefly looking at their website, and it looks like their price points are pretty low. I mean, some homes are even as low as 170,000. Are you guys planning on continuing along those same price points? And if so, what's allowing that? Is the land just cheaper in those markets than in other markets?
Phillippe Lord: Yes, we love it. The lower, the better, more affordability for the folks. So as we currently sit here today, we plan to continue operating in the price points and submarkets that they're in. And to answer your question, they had some of the best margins we've ever seen from private builders. So they've executed a very profitable business there, and you can get the land on the ground to achieve that affordability. Some of the low load stuff is kind of some unique stuff that they were building. We're probably not going to continue too much with that. But their core operating model is a 30 and 40 [indiscernible]. And it's in the high 2s, low 3s, and we intend to build our franchise around that.
Hilla Sferruzza: Yes, we're going to be building a lot of their products. So we're going to be maintaining the fantastic product offering that they have down there. So you should expect to see that. And as Phillippe alluded to, lot cost is significantly less expensive in these markets, which is what allows the lower price points, but actually improved profitability.
Alex Barron: Got it. Well, best of luck. Thanks.
Phillippe Lord: Thank you.
Operator: Your next question is coming from Jay McCanless from Wedbush Securities. Your line is now live.
Jay McCanless: Hey thanks for taking my questions. Actually, Alex told most of the ones I had on Elliott. But I did want to ask, we've heard some of your competitors talk about the cost of these mortgage rates -- mortgage rate buydowns increasing. And I wanted to ask if that ratio of 25 bps of mortgage rate nominal rate is still costing about 100 basis points of gross margin? Or is that ratio increase now with some of the rate volatility we're seeing?
Hilla Sferruzza: Yes. We have a slightly different structure on our rate locks. So I'm not sure that there's any rule of thumb that you can use for that. The costs are staying elevated, although we've changed our offering a little bit. So the per home is not materially different, but the utilization of how many folks are using them and meeting the rate lag or I shouldn't even say meeting, would should say leaning the rate lock due to psychological fear about buying at a certain time in the market, that percentage is increasing.
Jay McCanless: Yes. And then the other question I had -- and I jumped on a bit late, so I apologize. But how many communities is Elliott anticipated to add? And do you give any guidance for fiscal '25 community count growth?
Phillippe Lord: Yes, we did guide that would finish comfortably over 300 to end this year, including the Elliott Homes acquisition. We also guided to double-digit growth for next year over that number. So that's what we provided in our release. And then we're still evaluating exactly how many on a go-forward communities we're going to have. With Elliott Homes, we want to make sure we understand not only which ones are going to be active, but how long they're going to be active before we give a final count on that, and we'll be prepared to do that in our next release.
Jay McCanless: Okay. Great. Thank you. I appreciate it.
Phillippe Lord: Thank you. I think, operator, that was the last question?
Operator: It sure was. Over to you for any further or closing comments.
Phillippe Lord: Thank you. I'd like thank everyone who joined this call today for your continued interest in Meritage Homes. We hope you have a great rest of your day and a great rest of the week. And go docs [ph].
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.